Operator: Greetings. And welcome to the Flux Power Holdings Fiscal Second Quarter 2022 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to hand the call over to Justin Forbes, Director of Business Development at Flux Power. Justin.
Justin Forbes: Good afternoon and welcome to Flux Power’s financial results call. Today’s conference call is being recorded. Your host today, Ron Dutt, CEO; and Chuck Scheiwe, CFO, who will present results of operations for our fiscal year 2022 second quarter ended December 31, 2021. A press release detailing these results across the wires this afternoon at 4:01 p.m. Eastern Time and it’s available in the Investor Relations section of our company’s website flexpower.com. Before we begin the formal presentation, I would like to remind everyone that statements made on the call and webcast may include predictions, estimates or other information that might be considered forward-looking. While these forward looking statements represent our current judgment on what the future holds. They are subject to risks and uncertainties that could cause actual results to differ materially. You are cautioned not to place undue reliance on these forward-looking statements, which reflect our opinions only as of the date of this presentation. Please keep in mind that we are not obligating ourselves to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. Throughout today’s discussion, we will attempt to present some important factors relating to our business that may affect our predictions. You should also review our most recent Form 10-K and Form 10-Q for more complete discussion of these factors and other risks, particularly under the heading Risk Factors. At this time, I’ll now turn the call over to Flux Power CEO, Ron Dutt.
Ron Dutt: Thank you, Justin, and good afternoon, everyone. I’m pleased to welcome you to today’s second quarter 2022 financial results conference call. Our second quarter continued our trend of strong revenue growth and customer demand for lithium-ion battery packs, along with the addition of new customers and product improvements. Revenue increased 19% to $7.7 million, compared to a year ago $6.5 million, making our 14th consecutive quarter of year-over-year revenue growth. In the second quarter, we received $19.8 million in customer purchase orders from existing Fortune 500 and new customers an increase of 51% from the first quarter of fiscal 2022 and over 200% from the same period a year ago. Meanwhile, shipments increased 20% -- 24% over prior quarter Q1 2022 and 23.8% over a year -- of the year ago quarter. Highlight a few of our successes. We received multiple orders for our large Class 1 X-series battery packs from a global consumer appliance manufacturer and a new order for GSE or airport ground support equipment battery pack from an additional large domestic airline. We also received multiple orders for our C-Series battery pack, designed for our solar powered EV charging station partner, Beam Global, who recently reported record deliveries, pipeline and backlog. For the second quarter customer order backlog increased to a record $31.4 million as of December 31, 2021. This reflects the growing demand for our products from new and existing customers, and our continued expansion into new verticals. And then in January we also strengthen our corporate governance with the appointment of Cheemin Bo-Linn, a 25-year global technology veteran to our Board of Directors as an independent director and to serve as a member of the audit committee, compensation committee and nominating committee. Welcome Cheemin. As we put our fiscal Q2 results in perspective, for the full year of 2021, the December ending quarter reflected the impact of the global supply chain disruption everybody’s familiar with, increased shipping delays of key parts throughout the year, triggered delays in production and increasing purchase orders from growing customer demand, as I’ve alluded too. The result -- this resulted in pre-purchasing of inventory, given the production delays. While we did not lose customers or orders, the increase in inventory spending was fortunately supported by our capital raise of $14 million in September. Related to those delays, we experienced increases in the prices of steel, electronic components and shipping, which impacted Q2 gross margins. While we implemented a price increase in Q2 2021 on new orders, we continue to ship orders from our backlog that were ordered prior to the increase at the higher component costs. This supply chain impact occurred as we were supporting product design changes for new cells that will bring lower costs and better features in 2022. I will outline actions to restore our gross margin improvement path, as is highlighted on slide five of -- for you -- for those of you on the webcast. In addition to the price increase, we also initiated the design cost reduction project to improve gross margins across our product line. We took actions to improve our supply chain efficiency and supplier management, such as vendor metrics, better tracking and accountability, and alternate suppliers to replace vendors that we have outgrown. In fiscal year 2022, we have made changes to our ERP purchasing methodologies to avoid excess inventory, particularly in the race to find parts that are available. Also to rebalance supply chain to leverage low cost sourcing and also to improve payment terms with our suppliers. Given the recent growth of our product lines, an impactful action has been taken to better align our suppliers to meet our production demands, while taking into consideration the current supply chain disruptions. Additionally, we are pursuing sourcing strategies in Mexico and selection of other vendors to align better our growing needs and increase timing demands. We’ve been aggressively resolving supply chain issues with our vendors. Our pricing actions with customers have a delayed effect due to the build up and open sales orders already received. However, our price increases with customers are intended to help offset costs increases already incurred from suppliers and our design cost reductions from our 10-year accumulated pioneering experiences with lithium-ion technology is meant to provide the remaining element of achieving our gross margin targets. Our strategy for the past several years has been to capture leadership in the lithium-ion sector for industrial and commercial equipment. We are pleased with being chosen by Fortune 500 companies as their supplier of choice. This refers to customers, as shown in our website presentations, such as Delta Airlines, PepsiCo, Caterpillar, and a number of other household names. Our vision is to be a leader in providing best-in-class product and service to material handling, energy storage and related sectors. We have confidence in these goals, and the credibility and sustaining relationships I have mentioned with those household names. At the same time, we’re committed to reach profitability as soon as possible. While our strategy continues to aggressively maintain our leadership position and invest in our growth, we are equally as aggressive at improving our gross profit margins, and preserving our cash and pursuing cash flow breakeven. I’m pleased with the specific initiatives and actions were taken to meet that goal. Our vision is to then move forward to expand bringing our proprietary energy storage products to serve the rapidly growing applications of lithium-ion technology as most of you know and to lead the innovation of energy storage solutions, including engaging partnerships to leverage our resources. During the second quarter, we experienced the full impact of the supply chain disruptions, but without time to build and collect from the order backlog. We are pleased to report that we have a line of sight to accelerate our trajectory to cash flow breakeven. We do acknowledge the unprecedented level of supply chain uncertainty and the potential for continuation. Accordingly, we have chosen to report our FY 2022 Q2 10-Q going concern language. Finally, we increased our purchasing and related inventory to $9.6 million at December 31, 2021 to mitigate supply chain disruptions from increasingly hard to acquire microchips and electronic components, while you utilizing, as I said earlier, our capital raised $14 million in September. These actions were taken to protect customer orders and customer relationships, which for us are long-term. With our recent production throughput improvement, including launching lean manufacturing, a second chip to launch this month and a major quality initiative to reduce costs, we expect to achieve quicker turns on this customer backlog. A strategic decision was made to secure inventory to align our backlog to deliver our customer requirements. While this is well outside our inventory turnover goals, we felt it was necessary to secure this inventory given the current supply chain inconsistencies to achieve our future financial goals or meeting our customer expectations. Looking beyond the remaining 2022 fiscal year and building on our success in material handling industry, we intend to broaden our reach to include stationary energy storage and related sectors. We are focused on delivery of our stationary energy storage products to being global for their solar powered EV charging stations. With our operational investments we’re positioned well to continue to support this sector as EV adoption continues to accelerate. On the technology front, we have commenced deployment of our SkyBMS Telematics product for remote fleet management and monitoring that delivers battery pack data to optimize performance and customer fleet tracking. I’m happy to report that customer interest has been very positive. Now, turning to review our financial results in the quarter ending December, revenue grew 19% to $7.7 million in the quarter, as compared to $6.5 million a year ago quarter. Revenue grew 27% to $14 million for the six months ended period December 31, 2021, as compared to $11 million in the six months ended December 2020. The increased revenue was primarily driven by sales of battery pack, with higher selling prices of products sold, including greater sales to existing customers, as well as initial sales to new customers. In the second quarter of 2022 alone we booked $19.8 million in new orders, while there can be some seasonality with orders, clearly strong customer demand continues. Gross profit margin decreased to $1 million in the quarter or $13.6 in the fiscal second quarter of 2022, as compared to gross profit margin of $1.5 million or 23% in the same year ago quarter. Gross profit margin increased to $2.5 million or 18% for the six months ended December 2021, as compared to the gross profit margin of $2.4 million or 22% for the six months ended a year ago. Gross profit in 2021 was affected by higher costs for steel, electronic boats and components, electronic parts and common off the shelf parts during the quarter and partially offset by higher revenues associated with increased product sale. Taking a look at our gross margin trajectory, as illustrated on the slide for those watching, our gross margin improvement was impacted by the pandemic during the last two quarters. While the supply chain disruption hit us hard, we’ve taken aggressive actions with our suppliers, our pricing strategies, product redesigns and manufacturing initiatives to regain our previous trajectory. Selling and administrative expenses increased to $4 million in the fiscal second quarter of 2022 from $3.1 million in the same fiscal period 2021, reflecting increases in outbound shipping costs, personnel related expenses, insurance premiums, and sales and marketing expenses. R&D expenses increased to $2.1 million in the second quarter, compared to $1.6 million in the quarter a year ago, primarily due to new product development activities and their related OEM and UL certifications. Cash usage, as described earlier supported our actions to protect our customer orders, given global product shortage and delivery delays. We’re actively working to reduce inventory balances as we move through this pandemic caused disruption. We ended the second quarter with $7.9 million in cash and additionally of our credit line with Silicon Valley Bank, with the line recently increased from $4.0 million to $6.0 million, as an alternative resource to manage working capital needs. With $19.6 million in product inventory, we will do everything in our power to build, produce and deliver product timely. In summary, we are well positioned to create long-term value for our shareholders. Looking ahead into 2022, we’re intensely focused in our strategic initiatives to increase profitability, mitigate ongoing global supply chain disruption and deliver upon our record customer order backlog. We’re seeing strong interest from both investment funds, customers and vendors for products and businesses that aligned with ESG or environmental social governance values that impact. Well, Flux Power is at the forefront of sustainable products, saving customers tons of carbon dioxide from our efficiency, empowering our drive to create more sustainable material handling and GSE solutions as we continue expanding into emerging application in adjacent verticals. I look forward to providing our shareholders with further updates in the near-term as we continue to leverage our first mover position in lithium-ion technology solutions. With our growing list of new and diverse large customers, which provide validation of our strategy? We also hope to see some of you at the upcoming 34th Annual ROTH conference in March and also our investor analysts facility tour plan this year at our headquarters in Vista, California. I thank you all for attending. And now I’d like to turn -- hand the call over to the operator to begin our Q&A session. Operator?
Operator: [Operator Instructions] Our first question is from Craig Irwin with ROTH Capital Partners. Please proceed with your question.
Craig Irwin: Good evening and thanks for taking my questions. First, I should say congratulations on that $20 million in purchase orders. That is a big number and quite an accomplishment. I wanted to start by asking if you could maybe give us a little bit more of a breakdown. What was the relative contribution maybe from airlines and your other major customer groups to that that $19.8 million you recorded? And as a second part of the question, the $31.4 million backlog, how much of that approximately is deliverable over the next 12 months?
Ron Dutt: Yeah. No. No, Thanks, Craig. Thanks for jumping on. The backlog -- we’re going to work most of that backlog, it should be delivered by summer, by the end of June. So its front loaded in the calendar year. So we have to hustle on our production. We’ve got key customers that -- they’re getting their forklifts and other equipment delivered, and looking for the batteries, fortunately, there’s a long lag with forklifts as well. But to your question on that backlog, we have Delta Airlines as a big piece of that, more than 10%, Electrolux has a piece, that’s more than twice that, PepsiCo, of course, as you know is our biggest account has quite a bit more than that, leading customer, Caterpillar has a good chunk and we’ve got quite a few other companies. But those are some of the marquee names being global. I mentioned earlier, just doubled their pacing. We build and ship them packs every week on a regular basis. So they’re upping their opportunities and so we’re seeing a doubling there. So we are optimistic on that front. Does that help, Craig?
Craig Irwin: That definitely does. That definitely does. So it’s wide based Tier 1 customers and many of those I think are things you’ve been pursuing for a long period of time, so it’s nice to see them all bearing fruit now. I wanted to ask a little bit about the progression into the March and June quarters as you close out your fiscal year. I know this environment is tricky as far as overall visibility, but with your investments in the raw materials to make the deliveries and a little bit more customer confidence out there. It sounds like -- how do you feel about the shape of the growth curve as we look into the third and fourth fiscal quarters?
Ron Dutt: We can’t build packs fast enough to keep up with the demand and so we see a robust quarters. And however, as you’ve seen this past quarter, if we can’t get the electronic components, that this isolator chips, everybody’s fighting for them. Jakvac [ph] contactors, other components, are the ones everybody’s chasing all over the world. So it certainly dampen what we could do revenue wise in the quarter, as I’ve kind of beat that drum pretty loudly here. But I don’t think anybody projects that the supply chain disruption is over. We do see signs, though, very positive signs of our suppliers and ourselves working hard to mitigate a lot of those impacts. We see we see some indication of steel prices coming down a few. Yeah, there are 100 chips at the port that cause delays that we see some of that, but we are working on that backlog for the next two quarters and shipping just as much as we possibly can. The one thing we don’t want to do is purchase significantly more material and inventory, then the -- then will be allowed under supply chain potential constraints. So that’s the balancing Act. We’re continuing to receive orders weekly and on out beyond this year as well. So the growth is there. We’re implementing lean manufacturing, a number of other measures as, we are -- look, we’re an emerging growth company. We’re building all the time, our processes, caliber of people to do this, it is very exciting. Does that help, Craig?
Craig Irwin: Yes. Absolutely. So last question if I may. Your SG&A growth seem to be outpacing your revenue growth and we can call this maybe a little bit material. Can you can you maybe break out any items you would call one-time items as far as your certification costs or other items that are unlikely to repeat in the next couple quarters?
Ron Dutt: Yeah. Are you referring to just SG&A or all of operating expense?
Craig Irwin: Well, we could do either, right. SG&A was $4 million up from $3.1 million. R&D was $2.1 million from $1.6 million? It’s both of them had fairly substantial growth…
Ron Dutt: Yeah.
Craig Irwin: … compared to your 19% topline?
Ron Dutt: Yeah.
Chuck Scheiwe: Yeah.
Ron Dutt: Yeah. It’s a good question. It’s one that’s been frustrating. There’s a variety of things, I’d say, you have a several buckets. One, insurance premiums have just gone through the roof, as a lot of people know. Our public company expenses are to ensure that that we’re in touch with the market and things we need to do, it certainly has contributed something. As we -- there’s a slide, I think, in our website that shows, our packs are all over the country. While all over the country means we need to support them. Now, we use equipment dealers and battery distributors to support that, but it does take more effort on our part. What we’re doing to mitigate some of these things with SG&A is to get expand our certified people on the ground in those areas. So we’re not shipping packs back and forth, increasing costs from that as well. And so we -- as we look forward, we’ve always kind of forecast those operating expenses not to increase and get a lot of leverage from the revenue growth. But as you say, this past quarter, that’s not very evident. But what’s going on the ground. Another one, for example, and R&D has been up, because we migrated from our power cells to E cells [ph] and that, however, took at least a $1 million and a lot of that was in the quarter. That’s non-recurring. The other one that was big was 100% increase in shipping costs. All our outbound shipping costs are in OpEx and that that’s been a huge hit. We hope that starts to recover. I can’t imagine that that would continuing as well. So some of those things are temporary or hoping that they will be mitigated the supply chain disruption lessened.
Craig Irwin: Thanks again for that color and congratulations on the nice revenue this quarter.
Ron Dutt: Yeah. Thanks, Craig.
Operator: Our next question is from Sameer Joshi with H.C. Wainwright. Please proceed with your question.
Sameer Joshi: Yeah. Thanks, Ron. Thanks, Chuck, for taking my questions. The inventory of $19.6 million, how much of that is finished goods inventory and what proportion of that is the inventory that you’re experienced in supply chain problems, for example, the electronics and the chips, can you give us that?
Ron Dutt: Yeah. Yeah. The finished goods is probably $2 million or $3 million of that. And the -- in terms of the mix of other components itself, is probably the single biggest one, electronic components and steel, are next in line. So they take a big chunk of that. They’re longer lean items. And there are some parts of the electronic parts, by the way, there’s some that there have been such as toilet paper run and global chase. We have our engineers have gone out and bought some of those and put them into consigned inventory so that when our Board assemblers need them, , they’ll have and then we won’t run out. So that’s part of our mitigation strategy that we probably wouldn’t have had and there’s, I don’t know, a couple million of that…
Chuck Scheiwe: Yeah.
Ron Dutt: …as well.
Chuck Scheiwe: Yeah. $1.3 million just stuff bought from other vendors.
Sameer Joshi: Right. Right. So then, just digging a little bit deeper there, did -- when you bought these or when you build up this inventory, were the prices already elevated or it was before you saw increases in prices?
Ron Dutt: The price rise -- when COVID came along in March 2020, we didn’t see a very big effect for a while and I think there was just a delay of even our suppliers raising prices along with the other dynamics that were building and as they built it, we really started to see it more in June. Chuck, would you say.
Chuck Scheiwe: Yeah. Yeah.
Ron Dutt: In June and then it really started to accelerate in October, November, December. And so, I think, that period, hopefully, is the hardest debt. But we’ll see. Who knows. But those prices were definitely going up through that period. And so…
Sameer Joshi: Okay. Yeah.
Ron Dutt: So we have a very significant price increases to our customer in October. But, again, there’s a lag with that, as I mentioned.
Chuck Scheiwe: Yeah.
Sameer Joshi: Right. Great. So then just combining an answer you gave for Craig about the $13.1, sorry, $31.4 million of backlog, a significant portion of that to be delivered before June. And juxtapose that with the $19 million minus $3 million or $4 million of finished goods inventory, which will be your raw material inventory. So it seems like for the rest of the fiscal year, you do have inventory enough to satisfy the backlog. Am I reading it right or am I missing something?
Ron Dutt: Well, if you look at a number you say, well, why don’t you have enough inventory? And the simple answer is in the complexity of the purchasing and the long lead items versus non-long lead. So and they can’t end up committed contracts we have on buying inventory. We’re trying to push out some of those PO commitments we have in our suppliers. So we’re working -- we’ve been working hard on that doing some of it, but there’s -- there -- it’s not possible in all cases. So there’s going to be some purchasing that’s for future use.
Sameer Joshi: Right.
Ron Dutt: And some for parts that have been hard to get that we get at the last minute.
Chuck Scheiwe: Right. And from a money standpoint, there’s small parts, these are connectors or some…
Sameer Joshi: Yeah.
Chuck Scheiwe: … all item that we’re chasing down. We’re getting more and more confident. We’re going to find. It’s not big dollars…
Sameer Joshi: Right.
Chuck Scheiwe: … looking with strength getting stuff out the door.
Sameer Joshi: Right. Great. No. Thanks for that color. And then the gross margin improvements you’re targeting. Of course, it will come from recovery of some of the gross margin headwinds that we have faced now. But it seems you’re also working on lowering material costs and improving design. And I think there was also some talk about adding production lines in the past?
Ron Dutt: Yeah.
Sameer Joshi: Can you explain that? Yeah. Can you explain that?
Ron Dutt: Yeah. Yeah. No. We’re adding a second shift now, this month that as we speak, and the second ship will not be a full second shift yet, but it will be a doubling of our large dollar high volume packs, which include our X -- Class 1 X-Series, the large pack, the $21,000 -- $20,000 plus battery pack and similar packs that go on the airport trucks, as well. So that, in fact, has been one of the places of the most urgent need to accelerate our production. So I’m real pleased with that. Our VP of Operations doing a great job with that, along with implementing lean manufacturing which would recover many, many months ahead.
Sameer Joshi: Okay. Thanks for that color. And just one last one, you briefly mentioned SkyBMS. Can you give us a little bit more color on what kind of customers you’re talking to, what the level of talks are and when should we start seeing initial revenues and then significant revenues?
Ron Dutt: Yeah. I’ve been talking about that for a number of quarters. And we initially started delivering that last August to some customers and then it was really more of a pilot phase with PepsiCo. And we had used it ourselves internally just to track packs out there, our engineers to monitor and know what’s going on with the packs. But PepsiCo said they looked at a lot of telemetry and ours is the best I’ve ever seen. So they wanted on all their larger packs. Everything but the Walkies, the Walkie pallet jack. So we’re putting that on there. We’re charging for it. And we -- what we try to do is we’re really moving towards like your XM radio where you get it and then if you want to keep it, you have to pay for it, because once we found that, once customers see this and understand it, because everybody’s heard of telemetry, we got telemetry all over the forklifts and half the time the customers don’t use them. And so but we found that once they see it, they love it and want more, they get customized reports, they get real time reports, which we don’t know of any of our competitors and lithium-ion doing that. I’m sure they are -- they’ll be catching up. But we see that as a platform to expand, adding new features on a regular basis, downloading updates, downloading new calibrations for different applications that that the packs may go through corner cases, extreme conditions. So we’re really excited about it and see that as a differentiating feature.
Sameer Joshi: Great. Thanks a lot, Ron, for taking my questions and congratulations on a great quarter despite the headwinds. Thanks.
Ron Dutt: Yeah. Thanks, Sameer.
Operator: [Operator Instructions] Our next question is from Chip Moore with Hutton. Please proceed with your question.
Chip Moore: Hi. Thanks for taking the question. I wanted to follow up on gross margins, right? So number actions underway, whether it’s pricing or product design or supply chain. So maybe you can help us first set out sort of near-term next couple of quarters getting product mix and backlog and things like that versus a bit mid-term and sort of line of sight on 30% margins if you could?
Ron Dutt: Yeah. Yeah. Let me start out with that and then I’m going to ask Chuck to fill in the blanks…
Chuck Scheiwe: Fill in the blanks.
Ron Dutt: Yeah.
Chuck Scheiwe: Yeah.
Ron Dutt: …that I don’t have. But gross margins, as you know, are hot topic. We put out pricing in October. We see opportunity to -- for another round now and there is a little bit of judgment put in with that. But I think it’s there. Everybody’s getting price increases, everybody’s got material costs. And so we think we have to -- that that will be a big element in recovering our. But it’s going to take some time. As we mentioned, we got a lot of backlog orders there that we’re committed before that. But that’s a big one where our engineers are designing out some cost in the steel and the number of welds and number of turns and sourcing to Mexico, our VP of Operations has a lot of experience with some high quality vendors in Mexico. We can reduce these costs on those and still have a very good supply partner. And then inQ4 and some of these things are going to take a little time. I mean, I’m talking about them now, we’re working on them, but there’s a bit of implementation and launch time, as you would guess, but it’s real, very, very real. In Q4, Chuck, can probably talk about this. Our projection is based on -- all of our planned shipments are really based on current backlog we have. And there’s a much bigger increase in the large packs which have higher prices and typically higher gross margin. So we hope to see a real impact of that and that really gets back to the high demand lines, I mentioned earlier, our Class 1 offerings and our airport GSE offerings. Chuck, can you add some color to that?
Chuck Scheiwe: Yeah. And I think that’s a -- lot of this is pack mix and also, of course, like any business, we have fixed costs, like, rent expense or something. So as revenue increases that rent is still there, so gross margins are naturally going to go up based on some fixed costs that we have there as well. But definitely it’s heavily driven off of the pack mix, which is heading towards the bigger pack that have higher margins at least. So we can talk separate about as well, if you want a little more detail.
Chip Moore: Yeah. That’s helpful. And just to walk through the different pieces?
Chuck Scheiwe: And follow-up and….
Ron Dutt: Yeah. And…
Chip Moore: Okay.
Ron Dutt: And Chuck, one other thing that works, and honestly, I don’t know how big this is going to be, but it’s like the right thing to do. Everybody’s running in the chip problems. And I’m not talking about you, Chip. But not very funny, but…
Chip Moore: Different, like, yeah.
Ron Dutt: We’re actually trying to use Tesla’s playbook a little bit of, our engineers and supply guys trying to source some of these electronic components that are not in such high demand and/or scarcity, so that we can get them. And so the engineers need to do a little development and testing modest work on our BMS or circuit boards to do that. So, I show that a marginal example of the kinds of things we’re doing to shake the bushes to move this gross margin. And as I said, before, we’re emerging company, we’re pioneering these things, we’re looking at everything, we know that this is a getting gross margin up is an extremely urgent matter of business and that’s what we’re doing as well.
Chip Moore: Okay. Got it. No. That’s helpful, Ron. Maybe one more on, given the inventory bill that we’ve talked about and I think executing on backlog here sort of front loaded this fiscal year, it’s -- how are you thinking about cash burn dynamics in the second half? I mentioned some of your customers, that’s an important thing, and you mentioned the going concern, so just curious if you could help us there?
Ron Dutt: Yeah. No. Cash burn is a big one. I mean, we’re trying to deal with this back up in the pipe here, if you will, from the supply chain and we’re going to do everything I can, as I said to build and ship. Everybody’s learning more lessons and how to deal with the supply chain backup. And we believe we can with the added assembly line, our improved processes on dealing with scarcities and better planning given a better understanding of what can be late, what’s not late, can tighten up some of that efficiency in the system. But Chuck’s got a forecast. We updated a lot, as you could expect, I think, everybody is these days, but we’re doing everything in our power to use the capital that we have. And I think, Chuck, do you have anything to add on that?
Chuck Scheiwe: No. I think it’s just the pure uncertainty. So, as you look at this, we’ve been caught out with stuff that, vendor says, I got it next week and all sudden, they’re like, oh, I don’t have it, because the vendor before they promise them. So it’s just -- it’s not a cash issue. It’s more of an uncertainty of is the supply chain getting better or not? We’ll manage through it. We have no problem. We have access to the money. But it is one of those things where we have to just look at and assess that isn’t a risk. Yeah, there’s risk. We don’t know what’s happening in the supply chain.
Ron Dutt: I’d say there’s another element here as well, though, when we look at the impacting courses. We do see there’s probably a lesser need to overstock our inventory in that defensive posture we were taking. There was more uncertainty as what was really going on, there is still uncertainty. But I think that matters, I think it matters a lot. So we’re going to do the best we can to manage that inventory down, we got aggressive targets goals to bring it down each month, our purchasing activities, moving committed purchasing out, as I mentioned earlier. So all that we hope drives cash to be satisfactory for us and…
Chuck Scheiwe: Yeah.
Ron Dutt: … improve and drive. Our drive is like driving to the end zone of cash flow breakeven. So all of these supply chain initiatives, gross margin, operating expense, we’ve got initiatives in those areas as well to be as efficient, lean, even down to it’s very important to get the right person in the right job, address any reworking efficiencies we have. So we have a major quality initiative that we’re initiating, we just hired a new very, very competent experienced Director of Quality. So I think all these things play to building momentum in the direction that we’re trying to head here, because our future is so good and our vision and our plan is to be this vendor of choice. So as part of that, my experience was -- has been mostly with large companies. If you want to -- if that is your goal, you need to be as efficient. You need to do all these things we’re doing. So we are on that March.
Chip Moore: Absolutely. Great. I’ll take the rest of mine offline and echo congratulations on the great order flow.
Ron Dutt: Okay. Thanks. Thanks, Chip.
Chuck Scheiwe: Thank you.
Operator: We have reached the end of the question-and-answer session, and I will now turn the call over to Mr. Dutt for closing remarks.
Ron Dutt: Okay. Thank you. I’d like to thank each of you for joining our earnings conference call today and I look forward to continuing to update you on our ongoing progress and growth. It’s a very, very challenging, but exciting time, particularly when we day-to-day are working with our customers. If we were unable to answer any of your questions, please reach out to our IR firm, MZ Group, who would be more than happy to assist. Thank you very much.
Chuck Scheiwe: Thank you.
Operator: This concludes today’s conference and you may disconnect your lines at this time. Thank you for your participation.